Operator: Good afternoon, and welcome to the Landstar System Inc.'s Year End 2010 Earnings Release Conference Call. [Operator Instructions] Joining us today from Landstar are Henry Gerkens, Chairman, President and CEO; Jim Gattoni, Vice President and Chief Financial Officer; Pat O’Malley, Chief Operating Officer; Joe Beacom, Chief Security, Safety and Compliance Officer. Now I would like to turn the call over to Mr. Henry Gerkens. Sir, you may begin.
Henry Gerkens: Thanks, Terry. Good afternoon, and welcome to the Landstar 2010 Fourth Quarter and Year End Earnings Conference Call. This conference call will be limited to no more than one hour. Please limit your questions to no more than two questions each when asked. Before we begin, let me read the following statement. The following is a Safe Harbor statement under the Private Securities Litigation Reform Act of 1995. Statements made during this conference call that are not based on historical facts are forward-looking statements. During this conference call, I and other members of Landstar's management team, may make certain statements containing forward-looking statements, such as statements which relate to Landstar's business objectives, plans, strategies and expectations. Such statements are by nature subject to uncertainties and risks, including, but not limited to, the operational, financial and legal risks detailed in Landstar's Form 10-K for the 2009 fiscal year described in the section, Risk Factors, and other SEC filings from time to time. These risks and uncertainties could cause actual results or events to differ materially from historical results or those anticipated. Investors should not place undue reliance on such forward-looking statements, and Landstar undertakes no obligation to publicly update or revise any forward-looking statements. In 2010, Landstar rebounded from the recession-ridden 2009 year as revenue for the 2009 (sic) [2010] full year increased 19% over 2009 to $2.4 billion. Operating income for the 2010 full year increased 23% over 2009 to $140 million, and earnings per diluted share increased 29% over 2009 to $1.77 from $1.37 in 2009. It was a very strong year. Let me review the 2010 fourth quarter results before I comment on what I believe is a very exciting and promising 2011. As you recall, I indicated on our 2010 fourth quarter mid-quarter update call, that revenue, inclusive of an approximate $44 million estimated decline in revenue from the low gross profit margin substitute Line Haul business, would finish in the lower end of the previous range of revenue guidance of $580 million to $620 million. I also stated that fourth quarter earnings per diluted share would be in the range of $0.45 to $0.50 per share. Overall, 2010 fourth quarter revenue was approximately $588 million, an increase of 7% over the 2009 fourth quarter. The low-margin substitute line haul revenue declined approximately 67% and about 10% more than I had anticipated on our mid-quarter update conference call. However, all other truckload revenue in the 2010 fourth quarter increased a healthy 20% over the 2009 fourth quarter. Overall, truckload volumes and revenue per load other than from the substitute Line Haul business increased about 8% and 12%, respectively. Total truck brokerage revenue other than substitute line haul revenue increased an impressive 48% in the 2010 fourth quarter versus the 2009 fourth quarter. BCO revenue for the 2010 fourth quarter versus the 2009 fourth quarter increased 8%. Rail, air and ocean revenue for the 2010 fourth quarter versus the 2009 fourth quarter collectively increased 5%. It should be noted that for the month of December 2010, revenue generated in the rail, air and ocean modes collectively increased 40% over December 2009. Revenue from new customers in addition to increased account penetration by existing agents all added to the December increase and is a good sign as we move forward into 2011. Revenue generated with a fixed gross profit margin represented 70% of total consolidated 2010 fourth quarter revenue versus 78% in the 2009 fourth quarter, primarily as a result of the reduction in the low fixed gross profit margin substitute Line Haul business. As a side note, this revenue represented 4% of total consolidated revenue in the 2010 fourth quarter versus 13% in the 2009 fourth quarter. Revenue generated with a variable gross profit margin represented 30% of the 2010 fourth quarter revenue versus 22% in the 2009 fourth quarter, primarily as a result of the strong growth in non-substitute line haul brokerage revenue. Gross profit dollars in the 2010 fourth quarter increased approximately 8% over the 2009 fourth quarter. Total operating income for the 2010 fourth quarter was approximately $36 million and increased approximately 30% over 2009 fourth quarter operating income. Earnings per diluted share for the 2010 fourth quarter was $0.50 per diluted share and increased 35% over the 2009 fourth quarter. It was a very solid quarter. Landstar finished the year with 468 agents who generated over $1 million in Landstar revenue versus 405 in 2009. In addition, there were 73 agents who generated between $750,000 and $1 million versus 89 agents in 2009. Revenue from agencies opened for the entire 2010 and 2009 years increased approximately 18%. Overall, for the 2010 full year, new revenue from 2009 and 2010 agent additions amounted to over $128 million. I'm very pleased with our recruiting efforts in 2010 as our strategy of focusing on quality, productive agents rather than agent count alone has generated improved revenue results. During the 2010 fourth quarter, we purchased approximately 1.3 million shares of our common stock at a cost of approximately $48.1 million. For the entire 2010 year -- or actually 2.7 million shares were purchased at a cost of approximately $102.7 million. During January of this year, Landstar purchased the remaining 25% interest from A3i from Lorne Darnell, who remains a consultant to the company. The purchase coupled with the buyout of the NLM earnout in the 2010 third quarter allows Landstar Supply Chain Solutions to move forward with unified leadership and approach. I'll now turn it over to Jim for his financial review.
Jim Gattoni: Thanks, Henry. Henry has already discussed the revenue for the quarter. I'll cover various other financial information and some included in the release. Gross profit representing revenue less the cost of purchase transportation and commissions to agents was $98.5 million or 16.8% of revenue in the 2010 quarter, compared to $91.6 million or 16.7% of revenue in the 2009 quarter. Purchased transportation as a percent of revenue in the 2010 quarter decreased 170 basis points compared to the 2009 quarter. The decrease in the cost of purchased transportation as a percent of revenue was partly offset by a 130 basis point increase in commissions to agents as a percent of revenue compared to the 2009 quarter. The cost of purchased transportation was 75.3% of revenue in the 2010 fourth quarter, compared to 75.5% in the 2009 fourth quarter. This decrease was primarily due to the significant decrease in the company's less-than-truckload substitute line haul revenue, which has a higher rate of purchased transportation. Excluding the revenue and purchased transportation costs of the substitute line haul freight, the percent of revenue paid for purchased transportation to truck brokerage carriers increased 150 basis points in the 2010 quarter over the 2009 quarter. However, the 150 basis point increase experienced in the 2010 fourth quarter over the 2009 fourth quarter was significantly lower than the 280 basis point increase experienced in the 2010 third quarter over the 2009 third quarter. On a sequential quarter basis, the percent of revenue paid the truck brokerage carriers, excluding the revenue and purchased transportation costs from substitute line haul freight, decreased 50 basis points from the 2010 third quarter to the 2010 fourth quarter. Commissions to agents was 8% of revenue in the 2010 fourth quarter compared to 7.8% in the 2009 quarter. This increase was due to the significant decrease in the company's less-than-truckload substitute line haul revenue, which has a lower rate of agent commission. Other operating costs were 7% of gross profit in the 2010 quarter compared to 8.1% in the 2009 quarter. This decrease was attributable to a decreased provision for contractor bad debt and the effect of increased gross profit, partially offset by increased maintenance costs on company owned trailer equipment. Insurance and claims costs were 11.9% of gross profit in the 2010 quarter compared to 18.4% in the 2009 quarter. The decrease of insurance and claims as a percent of gross profit was primarily attributable to adverse development of insurance claims in the 2009 fourth quarter and favorable development of insurance claims in the 2010 fourth quarter, net of the effect of a previously mentioned significant accident in the 2010 fourth quarter. Selling, general and administrative costs were 38.8% of gross profit in the 2010 fourth quarter and 37% of gross profit in the 2009 fourth quarter. Included in selling, general and administrative cost for the 2000 (sic) [2010] fourth quarter was a $4.9 million provision for incentive compensation, whereas no such provision was included in the 2009 fourth quarter. Depreciation and amortization was 6.5% of gross profit in the 2010 fourth quarter compared to 6.7% in the 2009 fourth quarter. This decrease was primarily due to the effect of increased gross profit. Investment income was $489,000 in the 2010 quarter compared to $314,000 in the 2009 period. The increase in investment income was primarily due to an increased rate of return on investments held by the Insurance segment. The effect of income tax rate was 31.5% in the 2010 quarter compared to 31.1% in the 2009 quarter. The effect of income tax rate in both periods was favorably impacted by reductions in the provision for uncertain tax positions. Looking at our balance sheet. We ended the quarter with cash and short-term investments of $68 million. 2010 cash flow from operations was $109 million. Cash capital expenditures during 2010 was $27.5 million. Trailing 12-month return on average shareholders' equity was 32%. And trailing 12-month return on invested capital, representing net income divided by the sum of average equity plus average debt was 22%. At December 25, 2010, shareholders' equity represented 67% of total capitalization. Back to you, Henry.
Henry Gerkens: Thanks, Jim. I am very optimistic as we enter 2011. Overall, revenue trends experienced in January are positive. Truck transportation load trends other than the anticipated decline in substitute line haul volume and the impact of some inclement weather have been positive. Truck transportation revenue per load trends remain positive but have moderated to some degree. Rail, air and ocean revenue trends are all positive. Supply Chain Solution fee revenue trends are positive. Our pipeline of perspective agents remains as strong as ever, and our pipeline of potential new supply chain customers continues to increase. As it relates to 2011 market conditions, I believe the economy will gradually improve in 2011, and that overall industry truck capacity could tighten to some degree as a result of the implementation of various regulatory initiatives. If capacity does tighten as we move throughout the year, I would anticipate a corresponding increase in pricing power. From Landstar's perspective, I don't anticipate any major impact to our BCO count as a result of any new regulations. I would anticipate however, maybe a 10% reduction in Landstar's list of approved broker carriers as we redefine our qualification standards. This reduction should have little or no impact on Landstar operations. I anticipate that the low-margin substitute line haul revenue will decline approximately 70% to 80% in 2011 compared to 2010 with the bulk of the decline occurring in the first three quarters of 2011. Despite that headwind and absent any unforeseen change in the economy or current operating trends, I believe that the decline will be more than offset by an estimated low double-digit increase in all other transportation services offered by Landstar. From a gross profit margin perspective in 2011, I believe Landstar's gross profit margin will likely improve on a current year over prior year quarterly basis in conjunction with the anticipated decline in the substitute Line Haul business and revenue increases in other transportation services, including supply chain fee revenue. I would anticipate operating margin for the entire 2011 year to be in a 40% range, up from approximately 35% in 2010 and approximately 33% in 2009. Please keep in mind that due to the seasonal nature of Landstar's first quarter and certain costs that are unique to every first quarter, Landstar's operating margin for the 2011 first quarter is anticipated to be in the 35% range, however, much stronger than the 31% in the 2010 first quarter. The increase in the 2011 anticipated operating margin over 2010 operating margin is primarily as a result of increased gross profit and lower SG&A costs. It should be noted that Landstar's operating margin should be favorably impacted due to anticipated lower incentive compensation accruals in conjunction with the higher 2011 targets. As it relates to Landstar's future operating margin, our objective over the next three years is to drive that margin up to 45%. I'm currently comfortable with the range of analysts' earnings estimates as reported by FIRST CALL of $0.38 to $0.45 per diluted share for the 2011 first quarter and $1.95 to $2.29 for the full 2011 fiscal year. One final point. On last year's year end conference call, I said I was happy to say goodbye to 2009 and welcome in the New Year. Well, 2010 was truly a bounce back year for Landstar. I'm looking forward to 2011 as I believe 2011 could be a breakout year for Landstar. With that, I'll open it up for questions.
Operator: [Operator Instructions] Your first question comes from Justin Yagerman, Deutsche Bank.
Justin Yagerman - Deutsche Bank AG: I was wondering, the commentary on substitute Line Haul business, obviously that's been a headwind to revenue for the last couple of quarters. Has anything changed where now you kind of see the rest of it going away throughout this year relative to what you'd thought in the back half of last year? Is this an acceleration of this going away? And I guess the other piece is, are there any other customers in the LTL space that are coming into supplant some of this business that’s leaving, I'm assuming from one large customer?
Henry Gerkens: Yes, well as it relates to -- I think what I stated in my prepared comments is that we anticipate through the first three quarters there will be that headwind and it will stabilize at a certain level. But we expect that to decrease about 70% to 80% primarily in the first probably 2 1/2 quarters, and I don't see anything on the horizon that's going to replace any of that gross revenue.
Justin Yagerman - Deutsche Bank AG: And if you could talk a little bit, you talked about trends here in January, but I'd be curious to hear about the load and pricing trends as you went through the months in Q4. Did you see things accelerate or decelerate through the quarter? And obviously, they've gotten a little bit better here in January, it sounds like.
Henry Gerkens: Yes, I think when we looked at -- let me talk about January a little bit. I don't want to get into any specifics, but if I had to categorize between truckload pricing and what we've seen in January, I would say that the flatbed, heavy haul pricing is strong. What's moderated to a large degree is the van pricing probably due to, I guess, some seasonality to begin with. And I guess, Pat, I mean do you want to add anything to that?
Patrick O’Malley: I think you're right on the money, Henry. The platform business remains fairly robust relative to pricing and demand, and for the inside, moderating.
Henry Gerkens: As it relates to the three months of October, November and December, Jim, I don't have those exact numbers in front of me but I think -- I didn't recall much movement. In fact, I think it was relatively consistent.
Justin Yagerman - Deutsche Bank AG: Well, hopefully new orders sound pretty positive in the environment, maybe that will get things moving a bit.
Henry Gerkens: ISM index is positive. As I said I think we've got a lot of things lined up right for 2011.
Operator: Your next question comes from Tom Wadewitz, JPMorgan.
Thomas Wadewitz - JP Morgan Chase & Co: I wanted to ask you a little bit on pricing. Just your view on what you think truckload rates will end up doing on a full year basis? Do you think mid-single digits or more or less optimistic than that?
Henry Gerkens: Couple of things. One, it really depends on I think capacity demand as you well know. I think you've probably seen a little bit more capacity I think from that van side than in the fourth quarter. I think that's put some, I don't think downward pressure on price, but the increase has not been as great. It sort of moderated as I said. On the other hand, I do anticipate that flatbed pricing and flatbed equipment will remain scarce. And pricing, I think, is going to be very positive. Pat, do you want to again comment on any of that?
Patrick O’Malley: I just agree whole-heartedly, Henry, with that analysis.
Thomas Wadewitz - JP Morgan Chase & Co: And in terms of the incentive comp, you said, I guess in absolute terms, you think it's down a little bit in 2011 versus 2010 kind of based on the targets you have, or how big of a magnitude going back to full year incentive comp that was accrued in 2010, and then just a little bit around magnitude of how we should think about the change of that in 2011?
Henry Gerkens: Let's go back to some basis. And I think it's important to understand that because -- and without talking about the specific targets. But if you go back to a year of 2008, for example, when our year was pretty well and we finished that x level, when we set our targets, the targets are set at x-plus-some factor that creates some stretch in numbers. When we did not hit that in 2009 due to the recession, you got to remember, now you're doing your budget cycle in 2009 trying to predict 2010 coming off a slow year in 2009 and projected to be in 2010 not knowing where that's going to be. We're at $1.37, for example, I think we finished in 2009. So what happens is you start building plans based on where you think you're going to be. And I don't think anybody projected the huge rebound. So what happened in 2010, we were able to outperform those targets and it resulted in as our bonus program has been set for years and years and years. It paid a little bit more. Now you're going into 2011 and you finish at $1.77, for example, and you put a factor on that. And for example, bonuses that are here from the executive staff don't start to actually accrue until you make those numbers. So from a magnitude standpoint, I would say that approximately for a one-time type set of accrual for next year is about $6 million to $7 million charge, Jim, I'm looking at you is that about accurate? Versus what I'm going to say was probably about a $14 million to $15 million accrual this year. So you're looking at going into next year with a $7 million to $8 million pick-up to start. Does that make sense to you?
Thomas Wadewitz - JP Morgan Chase & Co: Yes, so $14 million to $15 million for full year 2010, and that was a headwind because you had kind of zero in 2009, and you think you're kind of falling off that level about $6 million to $7 million in 2011?
Henry Gerkens: That's correct.
Operator: The next question comes from Jason Seidl, Dahlman Rose.
Jason Seidl - Dahlman Rose & Company, LLC: I want to get back to pricing. You talked a little bit about revenue per load on the van side moderating some. Is that total revenue per load including fuel or excluding fuel?
Henry Gerkens: Fuel is included in that, Jason.
Jason Seidl - Dahlman Rose & Company, LLC: So then the pricing is going to be off a little bit more than that because I'm assuming fuel is going to have a positive impact on that number?
Jim Gattoni: If you look at the quarter in the fourth quarter, fuel this year compared to last year was pretty comparable and didn't have that much of effect on the comparable price quarter-over-quarter. Now recently with it up over a little bit higher it might be having input. But really, it wasn't much of an impact quarter-over-quarter. Our fuel surcharges on the brokerage are about the same impact on the rate.
Jason Seidl - Dahlman Rose & Company, LLC: And Henry, you sound a little less positive about capacity tightening than some of the other, I guess, more pure truckload-type carriers. Is there a reason for this? Or are you just being cautious about capacity tightening in the industry?
Henry Gerkens: Yes, I'm just being cautious. I think it's more of a stabilization at this point, Tom. I don't know. I personally don't think as CSA 2010 comes into being and a few of the other, the other rules that they're talking about, whether it be hours or servers, the recently announced electronic on-board recorder requirement, the fitness stuff, [indiscernible] (40:15) stuff, a whole bunch of regulations that are being talked about. I'm just not sure that, that is going to have a pretty big impact as far as taking carriers out this year. It might in 2012 because I think it's going to take some time to actually get that whole compliance stuff up to speed. I do think it's going to have an effect. I'm just not as confident that's going to be this year. It could, but don't know. Joe, do you have any comment on that?
Joseph Beacom: The only thing I'll add, is if you think back to when CSA was being talked about so heavily, they've kind of tempered that tone a little bit. A couple of the basics that were going to be shown are no longer going to be shown. Some of the intervention talk that was originally out there, isn't out there quite as strongly. So I do think, now we have -- there was a great deal of uncertainty about on-board recorders. And now, we see this week that it's going to be a multiyear implementation. So I think all those things play a role in whether capacity tightens and how quickly. So I just think there was some uncertainty that it's a little bit more clear, isn't quite perhaps as doom and gloom as once thought.
Operator: Your next question comes from Jon Langenfeld, Baird.
Jon Langenfeld - Robert W. Baird & Co. Incorporated: Agent location, did I miss that number, or could you provide that for the fourth quarter?
Henry Gerkens: No, we did not provide that. We think the more relevant number is the number of million dollar agents. I mean, the location count is down slightly, but that's not as relevant as the number of million dollar agents that grew pretty dramatically. I actually gave in my commentary, the $750,000 to $1 million because I wanted to show that when you take a look at those agents that are in that level, which are your future million dollar agents, hopefully, the number gets to be quite high because we did have a pretty good recruiting season over last two years as I've been emphasizing on a lot of conference calls vis-à-vis the million dollar agent-type guy that we're going after.
Jon Langenfeld - Robert W. Baird & Co. Incorporated: And going back to this agent location because I got the data back for 10 years or so, but how do we think about that relative to an environment where '09 was down, '10 looks like it might have been down modestly? Is your strategy of attracting and going after agents more defined today than it has been in the past, so you're able to find these bigger agents? Talk to me little bit about what's changed there, so that this pure number of agent locations doesn't make as much sense?
Henry Gerkens: I will turn it over to Pat because I think it's really Pat's strategy. I think he's been very successful.
Patrick O’Malley: Jon, if you think about the past conference calls, we've talked about the quality of agent that we're bringing on. And it's not necessarily the number of agents because you can bring on a number of people that want to be affiliated with Landstar, but it's bringing on the right agent that has a base of business that they can convert over right away. I will tell you that the tough economic times of 2008 and the better economic times of 2010 have really helped us recruit a quality agent because it's difficult for them to fund their growth. And so we are the beneficiaries of tighter credit markets and the beneficiaries of entrepreneurs wanting to grow their business, and they find Landstar to be a great place for that. So I think our strategy of bringing on high-quality agents with an existing book of business is what's really making the difference as opposed to just bringing on agents so that we increase the agent count.
Jon Langenfeld - Robert W. Baird & Co. Incorporated: And then the follow-up question as it relates to the capacity side of the recruiting, the Business Capacity Owners. If I look at some of the metrics on efficiencies for the Business Capacity, they had a pretty good year, really good on a revenue basis, but even on a load count basis. I think you're at one of your better years in terms of loads per BCO. But how do we think about recruiting there? It's a tough environment for all these truckers, but are we going to be able to grow that count over the next three to five years? Or would your expectation be more of maintenance over that timeframe?
Henry Gerkens: I'll tell you Jon, I think we'll definitely want to try to grow that. You know that our standards are pretty high. And the expectations when they get here are a little different than they might be in other places, but we are absolutely trying to find the right candidates to grow that count, and it has not grown year-over-year. But it's not from lack of effort. We seem to have a very stable group of high-quality BCOs, but we are always looking to add to that. You just haven't seen the growth there because of the selection criteria that we've got around it. We're pretty selective.
Patrick O’Malley: John, I also think that the changing regulatory environment plays right into Landstar's hands. Our culture of safety transcends just the latest CSA activity. It's what we've really been about for years. And so as operators want to be in systems where they're not targeted by the enforcement community where they can thrive in a system that's supports their safety initiatives, we think that we provide a better solution for those capacity providers, and we think we'll be attractive. So we think the change in regulations is actually going to be beneficial from a BCO recruiting standpoint.
Operator: Your next question comes from Alex Brand at SunTrust Robinson Humphrey.
Alexander Brand - Stephens Inc.: Let me just start with a housekeeping question. Jim, 31.5% tax rate in the fourth quarter, what's the right rate to use for 2011?
Jim Gattoni: Anywhere from 38% to 38.5%, that's really our rate.
Alexander Brand - Stephens Inc.: Henry, you talked a lot about how if we strip out substitute Line Haul, you’re really happy with the high single-digit volume growth. I just have a kind of a two-part question there. The first part is when I'm looking at BCO and broker loads, both down year-over-year, where buried in that, where is the up 8% volume?
Jim Gattoni: The brokers got the substitute line haul, and so if you take that out, there's not a lot of -- BCO is kind of clean there, there isn't a lot of substitute line haul. So when you take a substitute line haul out of brokerage, that's where it's coming from.
Alexander Brand - Stephens Inc.: I guess what I was saying is that if BCO loads were down, and that's a clean number, but you still feel really good about the growth going into 2011, should we expect BCO to continue to be flattish, stable, down a little bit and the growth...
Henry Gerkens: I would expect BCO load growth to grow. I mean, when you look at the fourth quarter, I mean, in December in particular, I think there was –- you’ve got to remember our total revenue, from a brokerage side, let's talk about that, I mean brokerage revenue was up, I think it was 48% when I looked at ours. So we had robust growth in brokerage. The BCOs have worked pretty hard all year. You’re coming into the holiday season, my guess is that they were not hauling as much, there was a lot more stuff available to broker carriers. But again, you've got to look at this thing because I've talked about the substituted line haul for several quarters now as far as that going away. When you strip that out, I mean the numbers, the volume for truck -- the total revenue was 20% increase in total truck transportation, which I think is pretty strong. And as it relates to BCO versus broker carrier, the brokerage revenue was up 48% x substituted line haul. I mean that's very strong, and again, it's all a matter of I think things that we're doing positive. As far as BCOs, I just think that's a December issue. They worked hard for 11 months, and there were some weather issues. I mean, you guys can comment on that.
Patrick O’Malley: We had a couple -- three weeks of pretty rough weather in December. I think that probably played a bit of factor as well.
Alexander Brand - Stephens Inc.: I just want to make sure here because you've talked in the past very clearly about how brokerage would be where you would get your capacity and drive your growth. But it looks like it's maybe going to be a little bit more stable, and BCO actually is going to be a bit of a driver in 2011. Is that a fair statement?
Henry Gerkens: No, I think it's just the opposite. I think both will grow. I mean again, yes, you’ve got a couple things here. I’m going to talk X to substituted line haul piece, right? I think brokerage is going to grow. I think we’ve got a lot more loads in the system. I think as Joe described, we're going to try to add more BCOs, but they’re going to have to qualify into our qualification standards. The BCOs revenue should grow as will brokerage, but if you're asking me again x of substituted line haul, I would anticipate brokerage to grow at a much faster pace.
Operator: Your next question comes from Todd Fowler, KeyBanc Capital Markets.
Todd Fowler - KeyBanc Capital Markets Inc.: Henry, or I guess maybe Jim, can you go back over on the insurance here in the quarter? Did you say that the $11.7 million that you reported, that include the hit from the severe accident during the quarter?
Henry Gerkens: Yes. That did, and I think that's an important point to make. I mean, we had a very good safety quarter. Absent that particular accident, we had some favorable development also. And when you look at that accident as far as what we recorded in, and people are looking at the tax item, yes. And we had some, I guess, recognizing of some uncertain tax benefits became certain. But the two, not totally offset each other, but you got the one charge and you got the one credit basically.
Alexander Johnson: So I guess just to follow-up on that, how much was the severe accident in $11.7 million? And then going forward...
Henry Gerkens: What's interesting about that question, obviously that's kind of gone to litigation. I'm not going to put that out, I mean, let's just leave it at that.
Todd Fowler - KeyBanc Capital Markets Inc.: And then should we still use about 2% of gross revenues or run rate for that line item?
Henry Gerkens: Yes.
Todd Fowler - KeyBanc Capital Markets Inc.: And then just as a follow-up, Henry, can you talk about the transportation management fee revenue? I mean, it looks like it ended the year around $20 million, and it was kind of consistent throughout the year. When should we start to see that segment or that revenue line item start to grow? I mean is that something that we'll see in 2011? What are your plans for that going forward?
Henry Gerkens: You will see that to start to grow. We, in the fourth quarter implemented two specific customers as it relates to the A3i piece. I think the fact that what we've done with supply chain, we've moved now with the full acquisition of A3i, the purchase of the NLM earnout. Scott Taylor has been named President of Supply Chain Solutions. Greg Humes, Chief Operating Officer, all under one roof, they'll all be in a nice little location up in Southfield Detroit. We are extremely pleased as far as how we're going to progress with that. You'll start to see I think some better results from that probably towards the end of the year. But we were successful in our two launches, and we've got a couple more that we're working on.
Todd Fowler - KeyBanc Capital Markets Inc.: So near term, is it best just to think about that kind of in that $4 million to $5 million range on a quarterly basis?
Henry Gerkens: Yes, I think when you get further out, you'll have a much bigger impact. I think right now with the structuring and the one team approach that we've created, I think you're going to see some really good results.
Operator: Your next question comes from Nate Brochmann, William Blair & Company.
Nathan Brochmann - William Blair & Company L.L.C.: Henry, you've talked about 2011 potentially being a big breakout here. And we've talked about some of the components that are definitely moving in your favor. But like kind of when you sum it up, when you look at the potential for a breakout year, how much of that is based on some of your internal efforts, the agent additions over the last couple of years versus just the macro improving?
Henry Gerkens: We've done lot of things internally as far as to make things happen here. I mean our drive, as I said before, is over the next three years is to get that margin back up to that 45% level. We think we do that by increasing revenue. And everything that we've done internally as far as creating a one team approach. Pat's approach as far as bringing in new agents, the emphasis on safety, the acquisitions are all going to drive increased gross profit and maintaining our SG&A. And therefore, that’s how you're going to get the leverage and drive that back up to 45%, so it's a combination of a lot of things. Obviously, the economic environment plays a lot into that. I mean, if you were to come back with another 2009 year, I mean obviously all bets are off. But right now, I think all things seem to be positive. Manufacturing, industrial production, all that stuff seems to be good. It plays into our hands. We are a very big flatbed carrier. We've got a lot of things going for us right now. We're just pretty positive at this point.
Nathan Brochmann - William Blair & Company L.L.C.: And kind of right along with that point, Henry. With the ISM index and industrial production and you guys being a little more tied to that. Can you remind us like what percentage of your business currently kind of comes from flatbed or from kind of the more manufacturing side of it?
Henry Gerkens: It's about a third. Jim, about a third?
Jim Gattoni: Yes, about a third of the business.
Operator: Next question comes from Chris Ceraso, Crédit Suisse.
Christopher Ceraso - Crédit Suisse AG: Just a couple of items. With the opportunity for the truckload market to get even tighter with regulation and so forth, do you think you've got some room to really grow more meaningfully into intermodal?
Henry Gerkens: Yes. As a matter of fact, what's very interesting about that is we’re starting to cycle out off the agents that were lost. And we think we're going to see some pretty nice movement when we go into 2011. And clearly, I think our agents are starting to get that. But Pat, do you want to answer that?
Patrick O’Malley: I also think, Chris, it's important that we're bringing on agents that have intermodal business, whether they were smaller IMCs. And again, the same things that hamper agents on the truckload side, hamper agents on the intermodal side from a growth perspective, they don't have the funds to do that. And so they look to a company like Landstar to help them do that. And then in addition to introducing them to our intermodal product or allowing them to continue with that, we introduce them to the truckload, air, ocean and other services that we offer. So we've had some good fortune in bringing on agents that specialize in intermodal business.
Christopher Ceraso - Crédit Suisse AG: If you look at five years, Henry, could intermodal be 15%, 20%, 30% of your business? What's the runway for you?
Henry Gerkens: I'm not going to make any prediction on that.
Christopher Ceraso - Crédit Suisse AG: Just one housekeeping item then on the share count. You bought back shares in the quarter, what was the ending count as of 12/31?
Jim Gattoni: 47,860,000.
Operator: Your next question comes from Matt Brooklier, Piper Jaffray.
Matthew Brooklier - Piper Jaffray Companies: Henry I just want to circle back to something you said regarding your available brokerage capacity this year. I think you quoted a 10% potential number with respect to reductions there. And understanding we have regulations coming into the market that, that's going to make things a little bit tighter. I guess my first question is how do you guys come to that 10% reduction number? Is it just looking at your base of approved carriers at this point in time and realizing you are going to have to get rid of some? And then secondly, how would a 10%-type reduction impact, I guess, your ability to grow truck brokerage from a volume perspective? And also, on the pricing side, how would that impact you on your yields potentially?
Henry Gerkens: First, obviously with CSA 2010 and with the rules there and things being published, what we did is we went through and looked at our carrier base, and Joe Beacom here, who is in charge of compliance, we're going to set certain criteria that will basically -- we won't load these carriers, and we will move them all off our list, from a safety perspective, from a customer standpoint, I think that's the prudent thing to do. Not to do anything, I think, is incorrect. And as far as impacting Landstar's ability to load, no. I think I said it would be probably very little impact, if not zero because again, you're dealing with 27,000 different carriers, and when you look at the trucks that are associated with that 10% reduction, you're only talking about maybe 1% of the total trucks that we might even use 1%, 2%, 3% of the trucks. So that doesn't bother me at all. Again, this is all consistent with our safety culture, and I think part c of your question, was that a pricing piece?
Matthew Brooklier - Piper Jaffray Companies: Yes, just I mean a 10% reduction in terms of available carriers, how does that impact you on the pricing side?
Henry Gerkens: It really depends on what the available carriers are. I think from a market place perspective. I mean I'm not going to have any problem, or at least I don't foresee having any problem fulfilling any brokerage arrangement with the 25,000 that we might have left. The pricing is really going to come from if capacity actually exits the marketplace due to some of these rules. So our self-imposed reduction, if I could use that, is not going to have an impact on pricing.
Matthew Brooklier - Piper Jaffray Companies: The 10% number seemed pretty large, but it sounds like more Landstar-specific, you guys are a little bit safer have better criteria, so...
Henry Gerkens: Exactly right. I think I said that’s Landstar-specific. This is a self-imposed – it’s sort of like our self-imposed guidelines on BCOs, and we just want to try to have the safest carrier. Joe, do you want to add anything to that?
Joseph Beacom: The only thing I would add back to the capacity component of that, when we did our analysis, just about half of the carriers that we're going to discontinue, having our approval, hadn’t hauled a load for us in 90 days. So it's not like these are guys are out there actively supporting big pieces of business and all of a sudden, we're going to turn off this spigot, that's not the case at all. It is just a quality of carrier that we think we should do better. We think our customers want better. And we want to be able to be sure because there's lot of a customer inquiry about how we do this. They want to know what processes we have. They want to make sure that we're safeguarding their interests when we utilize brokerage to move their business and this is the way we see the right way to do it. And so far, it's worked out real well.
Matthew Brooklier - Piper Jaffray Companies: And second question, CapEx for '11. You guys have a sense in terms of what that could be?
Jim Gattoni: Cash CapEx is typically between to $5 million or $10 million, and then we have prior capital leases of maybe $25 million to $30 million for just a replacement of that equipment.
Operator: Your next question comes from John Barnes, RBC Capital Markets.
John Barnes - RBC Capital Markets, LLC: Just back to your early comment about just the pipeline of agents remaining as strong as ever, with things starting to get a little bit better, does the recruitment process get more difficult in a better environment than it was in a weaker environment for the agents?
Henry Gerkens: John, I think that historically, we would've thought that way. But as I've mentioned earlier, one of the barriers to growth for these small independent brokers is the access to capital. And they want to grow their business, they're turning back a number of opportunities, and so they view Landstar as an excellent solution to that problem. So, no. As a matter of fact, the better the environment, frankly, the higher quality candidate that we've seen coming to Landstar. So I know that seems somewhat counterintuitive, but it's what we've experienced here.
John Barnes - RBC Capital Markets, LLC: And is there a focus in 2011 on -- I guess this goes to the question earlier about intermodal and your opportunity there, but is there a focus as you look at 2011 and going forward on maybe looking for fewer agents with maybe the core trucking-type exposure and maybe looking for a larger number of agents with other kind of modal exposure in order to diversify a little bit given some of the issues in the trucking space? Or is it still going to be pretty balanced between the core business and the modes that you'd like to grow more aggressively?
Henry Gerkens: Yes, John, I will tell you that the type of agent that we're recruiting is the same kind of agent that we've always recruited. And that is do they have a base of business that they can bring to Landstar that will be additive to both parties. I will tell you that when we acquired these Supply Chain Solution companies, that brought then another type of agent to us because if you look at the capacity sourcing tools inherent in those systems and the traffic management solutions that are inherent in the systems, that is an extremely attractive proposal to an agent who is accustomed to sort of wanting to get into that traffic management business. And as capacity becomes tighter, our unique capacity sourcing tools become yet another selling tool to those prospects to join Landstar. In a roundabout way I hope I answered your question. We're looking at all candidates, not just in the truck load space but across all modes.
John Barnes - RBC Capital Markets, LLC: And just one quick question on BCOs. And Henry, you guys have had a long kind of history of being pretty selective as to who you would take on as a BCO, some pretty stringent guidelines. And I'm curious, you indicated 10% of your broker network, maybe no longer qualifies to haul for you. Is that a similar percentage that maybe impacts your BCOs or is the percentage on the BCO count much, much less as a result of how stringent your guidelines have been overtime?
Henry Gerkens: We don't anticipate any impact on the BCO count. We've been working on CSA 2010 now for a real long time as far as proposed the rules and whatnot. Our fleet is as good as anybody's and probably better.
Operator: Your next question comes from Anthony Gallo, Wells Fargo Securities.
Anthony Gallo - Wells Fargo Securities, LLC: I want to go back to the agent productivity question. When you bring in an agent, roughly how long does it take for them to be acclimated to the system? And then once they are, what kind of growth do you see in their core business? If they started at $100, does it go to $105 within six months, or just directionally help us think that through?
Henry Gerkens: Well, Anthony, from an agent productivity standpoint, when we bring on a new agent, we're looking at their base of business. And based upon that base of business, how much of it can we convert over, do we extend credit to their customers, is their customer base is going to work with the Landstar system? And typically, if you think about from an entrepreneur standpoint, they hit the ground running. They’re producing revenue shortly after they join Landstar, or they're not going to be in business very long. So the time from when they qualify and become a Landstar agent to producing revenue is days if not hours. Now in terms of the growth piece, I don't have...
Henry Gerkens: Let me give you an example and this is just raw numbers. All new agents that were some brought on in 2009 accounted for about $24 million. Those same agents in 2010 accounted for $80 million. So you can see that the type of progression year-after-year, and obviously, these agents are brought on at different times. But that's the type of progression you get, and then there's a third year that kicks in a little bit higher. But those are the two numbers I have here for the agents that we brought in 2009, $24 million in 2009, those same agents $79 million or $80 million in 2010.
Anthony Gallo - Wells Fargo Securities, LLC: Flatbed dynamics. The rails have been kind of vocal about going after some of the Traditional Flatbed business. Can you just remind us, within your business, how much of it would you say is the really specialized stuff? How much of it is fairly random? That's not really conducive to that market the rail industry is going after?
Henry Gerkens: Anthony, I would say that the overwhelming majority of our Platform business requires special handling and/or specialized equipment. What I'll refer to is like the steel-mill type of business where they're picking up the mill and they’re delivering it to a specific customer where they’ve got some platform business now running on the rails, we don't do much of that. It's kind of the irregular route much-needed specialized transportation. I don't think it's conducive to converting to the rail.
Operator: Your next question will come from David Campbell, Thompson Davison Company.
David Campbell - Thompson Davis & Co: I just wanted to ask you one question. I'm trying to figure out how the 35% operating margin –- how’s that calculated that you reported last year?
Jim Gattoni: It's operating income over gross profit. And gross profit is defined as revenue less purchased transportation and agents' commissions.
Operator: The next question comes from John Larkin at Stifel Nicolaus.
John Larkin - Stifel, Nicolaus & Co., Inc.: Just to go back to this 45% target on the operating margin as a percentage of gross profits, do you have a timetable in mind, Henry, for how that's going to be over which it’s going to be accomplished? And then could you may be talk a little bit in more granular fashion about how you're going to achieve that? Is that fixed cost leverage? Is it cost reduction on top of additional cost reduction you've done already? Is it focusing on more profitable businesses? What's really driving that margin expansion?
Henry Gerkens: Couple things but from a timetable standpoint, I mean the goal is set out for three years, and I think I actually stated what our objective is for the current year, which is around 40%. So we expect to get to that 45% within years after that. As far as how we get there, Landstar's model really hasn't changed all that often. It's really the same type of model, and it's relatively fixed SG&A, and basically creating an environment where we bring in agents, create new revenue and then leveraging that SG&A. I don't foresee –- you’ve got some variable pieces within the SG&A number as it relates to bonuses, for example. It's about being safe, and it's about being successful in our Supply Chain Solutions strategy. So I think you've got three component parts there. But clearly, it's about driving home revenue, obviously, a lot of things were masked over the last year with the substituted line haul, and people got, I think, a little bit -- lost sight of how Landstar operates. But I think when you look at that 45% margin as a goal, I think we hit that back in probably, 2008. That's our goal to get back there. It's not going to happen overnight, but we will get there.
Christopher Harrell: So by 2013, with the full year goal for 2013?
Henry Gerkens: For 2013, that is my -- we to hope to be there. That is our objective.
Christopher Harrell: And then secondly, over the last few years there have been an awful lot of folks that have been growing similar businesses, asset light, non-asset intensive, some brokerage-based businesses, some more the employee model. Given all that growth and some of the start-up operations that the asset-based carriers have put out into the marketplace, has the competitive dynamic changed much in your core business?
Henry Gerkens: No, I think Landstar from the way we operate, I mean there's a lot of people that, China, basically emulate Landstar and be like Landstar. I think the scale is really what separates us from everybody. So I'm not worried about any of the competition –- competition’s part the game but we think we have a hold on this space.
Operator: Your next question comes from Peter Nassfield, Jefferies.
Unidentified Analyst: Just a specific question on the Line Haul business. And really what I just want to try to understand better is how to look year-over-year x line haul what the organic growth is. Is there any way you can tell me what the -- what was the total line haul revenue in 2010? Ideally, so that it's not going to be there in 2011, ideally, if you had it by quarter that would be even more helpful because we could kind of look at things x the line haul each quarter year-over-year?
Henry Gerkens: Well, we're running out of time right now. Jim's not going to run down and get those numbers.
Jim Gattoni: I think we did give the percentage of revenue for each quarter during the quarter call. So I think I can tell you those.
Unidentified Analyst: We can follow up off-line.
Jim Gattoni: We can talk later. I'm pretty sure we gave it out. It was like 4% this quarter. So I can give you the percentages by quarter for each quarter in 2010. I just I don't have it handy to give it to you. But we can talk offline, and I'll give you those percentages.
Operator: Your last question will come from Ed Wolfe, Wolfe Trahan and Company.
Edward Wolfe - Bear Stearns: Two things, one just a little bit more color around the substitute line haul that's going away. I think you said that you had thought it was going to be originally $44 million and then it came out to be a little bit more. How much revenue was lost in the fourth quarter?
Henry Gerkens: Do we have that, Jim? $16 million out of $23 million.
Edward Wolfe - Bear Stearns: And as we go out, when did that start? When did you first lose it, in the third quarter?
Henry Gerkens: We started to see that yes, it was in the third -- I don't know exactly when in the third quarter, Ed, but it was sort of like mid-third quarter. Mid- third quarter is when we started to see that decline. And as I said many times before, we knew it was coming. In fact, it was told it was going to be not as -- it got strong in the first quarter. And the second quarter when we were told it wasn't going to get strong but we were going to take it but...
Edward Wolfe - Bear Stearns: I’m just trying to figure out how to model it out. So in third quarter, if it was $45 million and fourth quarter, was it half of that in third quarter?
Jim Gattoni: Ed, if you have someone give me a buzz I can give you the percentages for 2010. I'll give you the exact numbers.
Edward Wolfe - Bear Stearns: Is the SG&A at $38.2 million this quarter on an absolute number, what's in there driving that? Is that incentive comp? What else is driving that?
Henry Gerkens: That's per piece.
Jim Gattoni: $4.9 million of incentive comp in the fourth quarter.
Edward Wolfe - Bear Stearns: And normally, what percentage of your incentive comp occurs in fourth quarter for the year?
Jim Gattoni: It usually depending on how the fourth quarter compares to the other quarters. It should just be a straight-line in a perfect world, what we think what the quarters do.
Edward Wolfe - Bear Stearns: The CapEx for 2010, where do they come in and what were the leases beyond that?
Jim Gattoni: That was 275 on cash CapEx. Oh, I don't have that cap lease with me. If you give me a buzz on that substituted line haul, I'll give you the capital leases.
Henry Gerkens: I think that's it. If there's anybody who didn't get to ask a question, give Jim a call or myself a call. Jim, you got anything to say?
Jim Gattoni: For me, I'm very optimistic coming into this year. I’m feeling pretty good about how things are looking. In 2010, we’re coming with a headwind of having bonuses we didn’t have in '09 and that hit us all year. I expect that to be settled up in 2011. And I think everything is going on strong and supply chain solution opportunities are looking good. So I’m looking forward to 2011.
Henry Gerkens: All right. Well, I appreciate everybody dialing in, and we look forward to talking to you in the near future. Thanks.
Operator: Thank you for joining the conference call today. Have a good afternoon. Please disconnect your lines at this time.